Operator: Good morning ladies and gentlemen and welcome to the Calibre Mining Corp. 2020 Fourth Quarter Financial Earnings results. [Operator Instructions] As a reminder this conference call is being recorded. I would now like to turn the conference over to your host; Executive Vice President of Corporate Development and Investor Relations, Mr. Ryan King. Sir the floor is yours. 
Ryan King: Thank you, operator. Good morning everyone and thanks for taking the time to join the call this morning. Before we get started, I'd like to direct everyone to the forward-looking statements on Slide 2. Our remarks and answers to your questions today may contain forward-looking information about the company's future performance. Although management believes that our forward-looking statements are based on fair and reasonable assumptions actual results may turn out to be different from these forward-looking statements. For a complete discussion of the risks uncertainties and factors which may lead to actual operating and financial results being different from the estimates contained in our forward-looking statements please refer to our 2020 annual MD&A and 2019 AIF available on our website, as well as on SEDAR. And finally all figures are in U.S. dollars unless otherwise stated. Present today with me on the call are; Russell Ball, Darren Hall, John Seaberg and Mark Petersen. We will be providing comments on our full year and fourth quarter results our near-mine and infill drilling exploration programs and our outlook for 2021. After which we'll be happy to take questions. The slide deck we will be referencing is available on our website at calibremining.com under the Events section. You can also click on the webcast to join the live presentation. And with that I'll turn the call over to Russell. 
Russell Ball: Thanks Ryan. Good morning everyone and thanks for joining us today on our Q4 and 2020 earnings call. Before we get into the quarter and the year a little bit of history. We began the current journey back in 2018 after raising $5 million in seed capital with the intention of transforming Calibre from a junior explorer into a junior gold producer. We looked at a number of opportunities over the course of about 18 months before partnering with B2Gold in the fourth quarter of 2019 to acquire what was for them at least the non-core Limon and Libertad mines in Nicaragua a country we are very comfortable in given the 12 years Calibre has been exploring there. The new management team with a 100% focus on these assets and a recapitalized balance sheet has worked diligently to increase production, reduce costs, expand own resources and deliver new discoveries building a solid platform for growth over the coming years. In the first quarter of 2020, we implemented our hub-and-spoke operating philosophy leveraging the surplus installed processing capacity at our Libertad Complex, the excellent infrastructure and world-class trucking costs. Despite a 10-week COVID shutdown in Q2 of last year, we produced 136,000 ounces of gold at all-in sustaining costs of $1043 an ounce or is slightly better than our guidance. In August of last year we announced a multiyear production and cost outlook for both the Limon and Libertad complexes, while the 2020 drilling program was initially focused on infilling existing resources and upgrading inferred material to indicated and reserve categories. We expect to file updated reserve and resources as of December 31 2020 by the end of the first quarter and file our related technical reports on SEDAR and I expect a significant increase in reserves from the numbers at the end of 2019. On the exploration front we made two exciting discoveries both underground at Panteon and Atravesada that are currently being drilled further and will be developed over the course of 2021 and 2022 respectively. Notwithstanding, the COVID-related challenges we were able to permit, develop and commence mining at Pavon Norte with the first ore shipped to Libertad in January of 2021. Turning to Slide 4, 2021 is setting up to be another busy and exciting year for us with production guidance up roughly 30% from 2020, but all-in sustaining costs of somewhere between $1040 and $1140 an ounce. As we reinvest back in the business, I look forward to establishing a base from which to grow the topline materially over the next couple of years. And with the surplus in processing capacity at our Libertad Complex and our proven hub-and-spoke operating philosophy being able to do so in a manner that I refer to as capital-light through the discovery and development of additional satellite ore bodies.  With that brief introduction I'll turn it over to Darren to discuss our operating performance in a little more detail. 
Darren Hall: Thanks Russell. Turning to Slide 5. Firstly, I would like to take a moment to recognize our employees and business partners for their continued focus which delivered another solid quarter including an outstanding first full year of Calibre's stewardship of the assets, a heartfelt thank you to all. Russell highlighted a number of our achievements earlier and I would like to add that, in spite of managing through a global pandemic the team building off strong B2Gold health and safety systems reduced our full year lost time injury frequency rate by 13% which is a positive step in our journey to zero harm. Strict adherence to our COVID protocols continues to have positive impacts with as of mid-February no current confirmed or suspected COVID cases exist within our 3000 employees and business partners. Turning to Limon it was another pleasing quarter with the team delivering 19006 ounces of production for a full year production record of 64558 ounces at an all-in sustaining cost of $995 per ounce, a tremendous outcome given the 10-week production hiatus during the second quarter. Integral to unlocking value with our hub-and-spoke philosophy is the ability to transport ore to Libertad.  And I'm pleased to update that during the fourth quarter, the team responsibly increased the number of deliveries to 1097 tonnes per day, a 26% increase over the third quarter for a total of 220,623 tonnes for the first year of operation at approximately $25 per tonne. This excellent result clearly demonstrates proof of concept.  From a production growth perspective, the team made good progress on underground development during the fourth quarter at both Veta Nueva positioning us well for production in the first and second quarters respectively from those new mines.  Turning to slide 6. Another encouraging quarter at Libertad delivering 23,567 ounces of production for a full year of 71,451 ounces at an all-in sustaining cost of $977 per ounce. Again, a great outcome given the 10-week production hiatus during the second quarter and all from an asset which was anticipated to move into closure in mid-2020.  Capital spend at Libertad during 2020, totaled approximately $8.7 million more than half of which was spent on access infrastructure and mine development at Pavon Norte, which came online during December. Not only will Pavon be an important contributor from a production and cash flow perspective, but it also provides a framework on how we expect to add satellite deposits going forward, with production being realized in less than 18 months after submitting permit applications.  As we continue with ore deliveries from Limon progress opportunities with artisanal miners on our Atlantic concessions and ramp up deliveries from Pavon, Libertad 2021 production will increase by more than 60% over 2020, while utilizing only 45% of the installed mill capacity.  As Russell mentioned, Libertad continues to deliver value and its potential for significant growth for Calibre, which will be realized through integration of the assets and leveraging off our hub-and-spoke philosophy, which is a good segue to Slide 7.  During 2020, we have demonstrated viability of our hub-and-spoke operating philosophy of the 1.5 million tonnes of annual surplus capacity available at Libertad, which is a fantastic organic value creation opportunity.  In the second quarter of 2020, we presented our initial multiyear outlook, which was largely based on indicated and inferred resources. During the year, we executed extensive drilling and technical programs focused on upgrading the confidence of those resources to reserves, which are producing very positive results and we'll be releasing updated reserves and resources before the end of March.  With strong cash flow generation, we'll be in a great position to expand our current resource base building off 2020 results which Mark Petersen, our Exploration Vice President will talk you shortly.  Additionally, we have identified what we believe to be an exciting internal development opportunity this time as an operator looking with fresh eyes at the legacy Calibre assets within the Eastern Borosi Project. The opportunities we see at Guapinol, Vancouver and Riscos are analogous to Pavon at an even higher grade.  Technical work leading to prefeasibility studies has commenced. And during the year, we look forward to updating you on what we anticipate to be the next spoke in our hub-and-spoke operating model. It's worthy to note that this opportunity was not included in the midyear multiyear outlook.  I would like now to hand the call over to John Seaberg to discuss our financial results. 
John Seaberg:   Thanks, Darren. Turning to slide 8. Building on Q3's momentum, we had another strong quarter to finish the year selling 42,335 ounces of gold at an average realized price of $1882 per ounce. This drove quarterly revenues of $79.7 million and net income of $23.3 million or $0.07 per share.  Adding back non-cash items and working capital, we generated $28.7 million in cash from operations. Total cash costs for the quarter were $940 per ounce. Comparing Q3 2020 to Q4, the higher total cash cost in Q4 are primarily due to 20% lower grades at Limon Central in line with our reserve grade and lower strip ratio, resulting in more cost being expense versus capitalized. All-in sustaining costs for the quarter were $1051 per ounce.  Full year production and revenues was impacted by the 10-week production hiatus during the second quarter as previously mentioned by Russ and Darren. However, a strong second half of the year drove full year revenue of $242.7 million from 135,357 ounces sold at an average realized price of $1793 per ounce, generating net income of $63.4 million or $0.19 per share.  Our consolidated all-in sustaining costs were $1043 per ounce for the year meeting the lower end of our all-in sustaining cost guidance in spite of the challenges we faced during the year. We generated $81.3 million in cash flow from operations. This provided us the financial flexibility to reinvest in the business as shown in the graph on the right.  Allocating capital of $21.7 million in mine development; $11.4 million in property plant and equipment; and $13.5 million in exploration resulting in free cash flow for the year of approximately $35 million. This provided us the additional liquidity to repay the deferred acquisition payment to B2Gold of $15.5 million. As a result we ended the year with $53.2 million in cash and no debt.  As Russell mentioned, we expect strong operating cash flow in 2021. We expect both operating and capital expenditures to be weighted more towards the beginning of the year so expect to see costs decreasing and cash flow generation increasing post Q2 as we progress towards the end of the year. At current gold prices, we expect to generate between $55 million and $65 million in free cash flow. I will now hand the call over to Mark Petersen. 
Mark Petersen:   Thanks, John. Turning to slide 9. During 2020, we focused primarily on infill drilling and near-mine step-outs at Limon and Libertad with Pavon coming into focus later in Q3. After a comprehensive review of exploration and mine data, we inherited from B2Gold, we identified several new opportunities for near-term resource growth. One success has been at Limon with our discovery of two new high-grade ore shoots at Panteon, which you can see here on the slide. A maiden resource containing 29,000 ounces, averaging 9.7 grams per tonne gold of indicated, plus an additional 66,000 ounces averaging 6.8 grams per tonne gold of inferred was announced in June last year. Since then we've completed another 9,000 meters of infill drilling, which is being incorporated into an updated resource estimate scheduled for release later in Q1. We see further growth opportunities both along strike and down plunge to the southeast of Panteon. Turning to slide 10. Another exciting new area emerging at Limon is the Atravesada deposit, located approximately 400 meters east on Veta Nueva mine. As announced in our exploration update released earlier this week, a new high-grade zone is taking shape very nicely there. Drilling highlights include 7.9 grams per tonne gold over 6.8 meters true width and 8.9 grams over 9.8 meters true width. As a mineral resource has not been reported previously for Atravesada, it's not been included in our multiyear outlook, which was released earlier last year. A maiden resource estimate is in progress that incorporates these latest results, as well as legacy drilling by B2Gold. Looking west along strike, we're also seeing an opportunity to expand the Veta Nueva resource where similar to Panteon and Atravesada, recent drilling indicates the high-grade core continues at depth. Our recent exploration successes at Limon give us confidence that the district continues to offer significant potential for further near-mine discoveries and sources of high-grade feed for the Libertad mill. Turning to slide 11. From a broader regional perspective, we've expanded our exploration coverage to include opportunities within trucking distance of the Libertad mill. This means that any economic ounces discovered within our 1,200 square kilometer land package, plus another 800 square kilometers we have under application would provide additional sources of ore feed to Libertad. Also during 2020, we assembled a team of seasoned exploration consultants to work in tandem with our exploration team to identify new discovery opportunities in both the near-mine brownfields and regional greenfield environments. This collaboration has so far resulted in a much better understanding of structural ore controls ranging from deposit to district and regional scales, characterization of the signature footprints of the mineral systems around our Limon deposits and the development of district scale 3D targeting models that are being built through a combination of traditional methods and the application of machine learning. This integrated approach adds a powerful force multiplier to our discovery focused exploration strategy that we will continue to leverage going forward. Now turning our attention to 2021. We expect to complete approximately 60,000 meters of drilling during the year with a split of 25% infill and 75% resource growth in discovery. This excludes any drilling our partner Rio Tinto plans to do on the Borosi option project. At Limon, we have four drills continuing to explore for high-grade ore feed with two rigs at Panteon; one rig at Atravesada and one rig at Veta Nueva. At Pavon we have two rigs exploring strike and dip extensions at Pavon Norte and Pavon Central where we likewise see considerable upside potential to grow resources. At Libertad we have three rigs turning with two drills continuing to explore the Pavon seapay [ph] vein systems. And the third at the Rosario deposit, where we're continuing to test the resource growth potential there. In March, we'll be mobilizing a fourth rig to resume exploration drilling at our Amalia satellite concession where our reconnaissance team has identified two new untested vein systems in addition to the Espinoza vein where we reported encouraging first pass drill results earlier last year. Moving over to the Atlantic region. We plan to bring our Eastern Borosi Project into sharper focus during 2021 with infill and step-out drilling expected to commence at Guapinol Vancouver and Riscos de Oro in March. Currently these are the highest grading gold resources identified at EBP. In Q4, our team of consultants completed an independent review of the project's broader mineral potential, which confirmed our view that EBP holds significant upside for further discovery and resource growth. In parallel with the planned work programs at Limon, Libertad, Pavon and EBP, our generative exploration team is actively engaged in an aggressive reconnaissance program to cover our large portfolio of earlier-stage exploration concessions. This work has already identified new target prospects such as the ones at Amalia, which are being ready for first pass drill testing later this year. We look forward to providing further updates as our generative program advances in 2021. Finally, drawing upon a comprehensive targeting study by our partner Rio Tinto, four top ranked porphyry targets have been slated for first pass drill testing beginning in Q2 this year. All are drill-ready, permitted and are located within the 600 square kilometer Borosi option package. As demonstrated by Calibre's discovery of the Primavera copper-gold porphyry deposit in 2012, the Borosi project in combination with our exploration alliance offer an excellent opportunity for significant new porphyry copper-gold discoveries in the region. We're excited to see what will emerge from our partnership with Rio Tinto as their exploration program continues to ramp up through the year. With that, Russell I'll hand it back to you to conclude the presentation.
Russell Ball: Thanks Mark. I'm on slide 12. So with increased confidence in our resource and reserve base, the focus now shifts to the delivery of organic growth from our existing resource inventory and from the drill bit, as Mark just described. The key factor for us is being able to leverage the surplus processing capacity that exists at our Libertad Complex. Ignoring for now the 50,000 to 70,000 ounces of annual gold production from Limon, we have presented on the slide three scenarios looking solely at Libertad assuming a 50%, 75% and 100% utilization of the nameplate mill capacity of 2.2 million tonnes a year and three different scenarios of ore grades that being three, four and five grams per tonne. You can see from the chart what the potential production might look like with no further investments in plant capital other than incremental tailings storage capacity. This is a slide that gets me really excited. Admittedly, it's not going to happen overnight, but this is the direction we are headed. And I'm confident with this team we will ultimately be able to deliver. And finally, slide 13. We will be focused on continuing to deliver on our commitments to all of our stakeholders. And with a much strengthened balance sheet are investing organically to deliver top line growth over the next couple of years. The 2021 drilling program is well underway with 14 rigs currently operating. And the focus is very much on resource expansion and new discovery drilling after we focus 2020 initially on infill drilling. We will provide the market with drilling updates on a regular basis going forward. And finally, after a lot of behind the scenes looking at data and planning the on-the-ground activities with our new exploration partner Rio Tinto, we expect to first pass drill four or five targets this year for a total of between 5,000 and 7,000 meters looking for the elephants, large bulk tonnage copper and copper-gold porphyry systems, an exciting partnership to which Calibre shareholders are exposed as Rio Tinto earns in under the agreements announced a year ago. And operator, with that, we're happy to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Tom Gallo from Canaccord Genuity. Your line is open.
Tom Gallo: Thanks, operator, and thanks, thanks for taking my questions. Congratulations on a good year. I actually have two questions. First on Eastern Borosi, which Darren mentioned, will be part of your sort of next spoke in the plan here. I wanted to know, if you see a similar pathway which you demonstrated with Pavon. Specifically last year, it was revealed that material from artisanal miners was being transported from Pavon to Libertad. Can we expect the same sort of activities from Eastern Borosi?
Russell Ball: You can, Tom. And again, thanks for the question. I'll ask Darren to give you a little more detail around the plan going forward, not just for the artisanal ores being shipped down and that relationship being developed, but more importantly around what we're doing from a technical aspect to take those, I think it was 2018 technical reports and turn them into what we view now as the most likely development option, which is open pit. Go ahead, Darren.
Darren Hall: Yes. Thanks, Russell. Hey, Tom, how are you? Yes. No it's a good question. And particularly, it relates to ASM, Russell alluded to it. It gives us good information in terms of those artisanal ore deliveries because it's like a bulk sample. But more critically what it does allows us to establish a very positive relationship in the community with those landowners. And we've started that process as we saw in Q4 last year we saw some initial deliveries. We continue to see today. We've commenced discussions with landowners. And interestingly enough I can tell you with the same tells Russell, we actually signed our first parcel of land about 10 minutes ago, picked up 64 months over the land. So we're progressing with that gaining access to those land parcels. Mark had mentioned, we'll commence drilling here late in this quarter for infill metallurgical and geotechnical drilling which will give us the required information to be able to progress Guapinol Vancouver and Riscos into the pre-feasibility study level. And what I would anticipate is that by the end of the year, we're in a position to be able to materially upgrade, increase confidence in those resources and potentially add reserves, which then allows us to enter into the permitting phase as well from an exploitation perspective. So what I would like to do is at the end of this year is get a similar position that we were a year ago at Pavon and we will start that process.
Tom Gallo: Perfect. That's very helpful. And then just more broadly and maybe to Russell, can you speak a little bit about why costs and CapEx are expected to be front-end weighted while production is going to be relatively flat quarter-over-quarter.
Russell Ball: Yes. I'll let Darren speak to the operating piece, and then John can speak to the debits and credits, and how that washes through from a cost perspective. Darren?
Darren Hall: Sorry, Tom can you repeat that? I'm in an external line and it broke up, I apologize.
Tom Gallo: Yes, no problem. Just looking at why the operating costs and CapEx are expected to be front-end weighted.
Darren Hall: It's a timing of development. So, if we're looking at capital, so looking at all-in sustaining cost a little front-end weighted, because of the level of development that happens in the front part of the year. And there's also some changes there, which John can talk to in terms of distribution and strip ratios during the year, which changes allocations between expense and capitalize under the total mining accounts.
John Seaberg: Yes. Tom, this is John. Yes. Darren's spot on, on it, it's really the development capital that it's front-end loaded. Regarding the strip ratio, the strip ratio should be higher -- sorry, lower at the beginning of the year. So, more of those costs are going to be put into the expense. And it's really just the timing of the growth in the exploration capital throughout the year, both Limon and Libertad.
Tom Gallo: Perfect. Thanks very much. That's all I have for now.
Darren Hall: Sorry to layer on that as well as, with the development of Limon Norte in the back half of the year, right, that will come under production which will again, well, most of that most of those costs will end up in deferred and growth capital. 
Operator: Your next question comes from the line of Justin Stevens from PI Financial. Your line is open.
Justin Stevens: Hey, guys. Congrats on good quarter. Just a few questions from me. As production is ramping up here at Pavon, I know you guys had about 1,000 tonnes a day of the gold by the end of the year. Are you guys expecting the grade there to remain relatively constant? And also, do you need to do anything much other than just ramp up the number of trucks that are going back and forth?
Russell Ball: Darren? Go ahead. 
Darren Hall: Yeah. Justin from a grade perspective, we anticipate things to be pretty consistent during the year. We've commenced and we see our first ore deliveries into Libertad. And we have been pleasantly surprised by the grade. It is early on, but we are ahead of schedule. We will maintain a pretty material large stockpile at Pavon. So that will allow us to do some blending and make sure that we're delivering a nice consistent grade to the Libertad mill. As we ramp up, you're correct that the majority of the increase will be a function of adding capacity with our business partner Centerra in terms of the highway haulage.
Justin Stevens: And is that sort of from your perspective just going to be on the OpEx side? Or are you guys contributing it all to the capital there?
Darren Hall: It's really just an operating cost. It's the $30 a tonne for every tonne we move. I mean, it's their equipment. And they're purchasing the equipment. So there's not really no capital in it for us apart from how things get distributed from an expense versus deferred perspective in terms of expenses. But from an outage perspective, it flows straight through to the expense.
Justin Stevens: Perfect. And just quickly moving over to Panteon, how much ballpark development is left to spend there before you guys are looking for first production? And what's the time line there?
Russell Ball: Darren?
Darren Hall: Yeah. We're seeing ore from development as we speak right now. So a little earlier than what we anticipated. And I think Russ and the team are looking pretty squarely at early in Q2 being in the position to see production from production per se as opposed to production from development - 
Justin Stevens: First production stopes.
Darren Hall: Yeah. First production stopes, solidly in Q2, and we're seeing actually early deliveries of ore from development this quarter.
Justin Stevens: Got it. No that's good to see. 
Russell Ball: CapEx does, for Justin what are we spending on CapEx at Panteon this year development. John? 
John Seaberg: Oh, sorry Russ. Panteon yes. So, Panteon is going to be the underground development it's just over $8 million this year.
Justin Stevens: Got it.
Darren Hall: And the majority of that John will obviously be in non-sustaining, right? So – 
John Seaberg: Yes that's non-sustaining correct. Development capital.
Justin Stevens: Yeah. That was my assumption. Got it. And just on the gear is that mostly underground equipment that's coming over from Santa Pancha? Or is that sort of new gear?
Darren Hall: There was a minor addition of four trucks last year. That's some support equipment we had. But basically, it's just better utilizing the installed capacity that we have across all of the four underground mines between Santa Pancha, Panteon, Veta Nueva and Jabali.
Justin Stevens: Got it. But you're all geared up now for – to be able to run the mining operations there?
Darren Hall: Correct.
Justin Stevens: Great. That's it for me. Thanks guys.
Operator: [Operator Instructions] Your next question comes from the line of Geordie Mark from Haywood Securities. Your line is open.
Geordie Mark: Hey, good morning or good evening. I got a question on maybe I missed it, I just jumped off there for a sec Atravesada in terms of – on the development side, obviously looking at Q2 starting development. Just wondering drive meters et cetera that you're looking to put in there for development and nominal sort of mining style that you're looking at the moment given what you're seeing? And thirdly, kind of the exploration potential around Atravesada to show growth for depth or laterally or elsewhere in that system? Thanks.
Russell Ball: So maybe Darren, the first two questions in there. And then Mark, you can handle the exploration upside.
Darren Hall: Yeah. Hi, Geordie. From a development perspective we anticipate early Q2 commencing development across to Atravesada. Development mining methods will be very similar to Veta Nueva. No surprises there. And it's really about just doing the infill drilling be able to prove that up convert it to reserves and then the extensions that Mark can talk to – Mark can talk to us about the potential that exist there.
Russell Ball: Just before, we talk about it, John what's the capital that we have in for this year related to Atravesada, because that'll give Geordie a good indication of sort of the effort we're going. And I think the rate Darren, if memory serves sort of US$3000 a meter. Is that what we're assuming for development?
Darren Hall: Yeah, that's a good number. That's a good number, Russell. And we're talking about it in terms of development from memory just over 500 meters thereabout of development. 
John Seaberg: Yeah, that's right. We have about $1 million in the budget this year for underground development at Atravesada. 
Russell Ball: Mark on the exploration side, how do you see Atravesada developing? And what's the thesis there as far as how that resource may grow?
Mark Petersen: Yes. Thanks, Russell. And Geordie, thanks. Yes. What's taking shape at Atravesada in a lot of ways it seems very similar to our experience at Panteon earlier last year where we've got a bite into a high grade ore shoot. That is, kind of, the core of the deposit as we understand it right now. We know that it's open in the down plunge direction on this one shoot, which is effectively what we're pursuing right now. But what we also know from our experience at Panteon as well as the rest of the whole district is where there's one shoot there's usually another laterally in one direction along strike or the other. And so while we're starting out continuing to build off what we've tagged in this first shoot we're also going to continue to build our model, build our understanding of just kind of, the periodicity of the grade distribution along the structure as we go forward in the new year. Atravesada is just one more, kind of, pearl along the chain with Veta Nueva to the West, which we already talked about. And then one deposit farther West, which we don't say much about because it's historic is the Talavera's deposit, which was mined prior to B2Gold by Black Hawk Mining. That was a very significant deposit that I think we have about 800,000 ounces at seven grams per tonne taken out of that shoot. That's just farther west of Veta Nueva. So my point is just like the main Limon structure there are multiple centers of mineralization along these vein trends. And Atravesada is just the most recent one we've tapped into. So we're really quite excited about it. 
Geordie Mark: Thanks a lot. Excellent. And in the context of feeding capacity any production to come out of Atravesada would that be -- that would fit into the current logistics capacity and would augment current guidance? 
Russell Ball: Correct. So if we go back to the August multiyear outlooks Atravesada, obviously, wouldn't have been in there. And all of what we have now acquired and are working on at Eastern Borosi wouldn't be there. And remember we implied -- or we put a constraint on the model that we used to run at 1,000 tonne a day both from Pavon and Libertad. And I say as we get -- sorry and from Limon down to Libertad. As we ramp up the capacity and increase the contractor's capacity there's no reason from a permit perspective we can't ramp-up that production. So there's no constraint that would cause us to have any issues there Geordie. As we mine that it'll end up in a truck and will head down to Pavon for about $25 and get processed, sorry, at Libertad. 
Geordie Mark: Excellent. Thank you. That’s it from me. Thank you. 
Darren Hall: Geordie, just to clarify too is that we're looking at the development to Atravesada this year that we're anticipating production in H1 of 2022. So there may be some peripheral production from development. But in terms of stoping per se, it will be in 2022. 
Geordie Mark: Excellent.
Russell Ball: And Geordie that's an interesting question -- or comment that Darren's made because what we do see in the capital is there's a bad -- round numbers up. I said its $15 million that won't have any benefit this year. And that was to my comment earlier on the call where we're really setting up the business for top-line growth -- significant top-line growth over the next couple of years. And we are investing in the future. And it speaks to the comments. I think we had a question or I made a comment on a call -- one or two calls ago about don't look for us to jump on the dividend bandwidth. And we see the opportunity to redeploy the cash flow back into the business. And Atravesada is a great example of that as we look to expand the footprint and reinvest in projects that will deliver significantly higher rates of return than cost of capital at a lot lower metal prices than where we are today. So it's an exciting time and we are ramping up. And as Darren said, land acquisition we're accelerating that. And I think it puts us in a very good place to deliver that top-line growth over the next couple of years. 
Operator: [Operator Instructions] I am showing no further questions at this time. I would now like to turn the conference back to Mr. Russell. Please go ahead. 
Russell Ball: Thanks operator. Thanks everyone for their time. I know it's a busy time in the quarter with a lot of similar calls going on. If anyone has any additional questions you can always find Ryan or myself and we'd be happy to take them offline. Appreciate it and look forward to updating you in the not-too-distant future on the progress. Thanks everyone. 
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.